Operator: Good morning, and welcome to Bitcoin Depot's Second Quarter 2025 Conference Call. My name is John, and I will be your operator for today. Before this call, Bitcoin Depot issued its Q2 results in a press release. A copy will be furnished in a report on Form 8-K filed with the SEC and will be available in the Investor Relations section of the company's website. Joining us on today's call are Bitcoin Depot's CEO, Brandon Mintz; and CFO, David Gray. Following their remarks, we will open the line for questions. Before we begin, Cody Slach from Gateway Group will make a brief introductory statement. Mr. Slach, please proceed.
Cody Slach: Thank you, operator. Good morning, everyone. Before management begins their formal remarks, we would like to remind everyone that some statements we're making today may be considered forward-looking statements under securities laws and involve a number of risks and uncertainties. As a result, we caution you that there are a few factors, many of which are beyond our control, which could cause actual results and events to differ materially from those described in the forward-looking statements. For more detailed risks, uncertainties and assumptions relating to our forward-looking statements, please see the disclosures in our earnings release and public filings made with the Securities and Exchange Commission. We disclaim any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as required by law. We also discuss non-GAAP financial metrics and encourage you to read our disclosures in the reconciliation tables to applicable GAAP measures in our earnings release carefully as you consider these metrics. We refer you to our filings with the Securities and Exchange Commission for detailed disclosures and descriptions of our business as well as uncertainties and other variable circumstances including, but not limited to, risks and uncertainties identified under the caption Risk Factors in our recent filings. You may get Bitcoin Depot's Securities and Exchange Commission filings for free by visiting the SEC website at sec.gov. I'd like to remind everyone, this call is being recorded and will be available for replay via a link in the Investor Relations section of Bitcoin Depot's website. A supplemental earnings presentation highlighting our performance has also been made available on our IR website. Now I will turn the call over to Bitcoin Depot's CEO, Brandon Mintz. Brandon?
Brandon Mintz: Thanks, Cody, and good morning, everyone. Thank you for joining our second quarter 2025 earnings call. Bitcoin Depot delivered another strong quarter with revenue increasing 6% year-over-year and a near threefold increase in net income to $12.3 million. Consumer demand remained quite strong in the quarter with median transaction size up 30% year-over-year to $300 and total transaction volume moving steadily higher to $172.1 million. This performance demonstrates the strength of our operating model, the success of our kiosk optimization strategy and the powerful cash flow we can generate once fixed costs are covered. Let me provide more details on this performance. Our kiosk growth and optimization plan continued to show the intended results as Q2 gross profit was up 32% year-over-year and adjusted EBITDA was up 46% to $18.5 million. These results should continue as this strategy unfolds. We ended Q2 with approximately 9,000 active machines and expect to see continued growth in kiosks for the remainder of the year. As for our BTM relocation strategy, today, 3,300 of our kiosks have been installed for less than 1 year. As these machines ramp up, we expect to drive further cash flow as our Bitcoin ATMs typically see payback periods of less than 8 months regardless of Bitcoin price. Now turning to an update on our growth strategy. First, international expansion. We have now deployed over 200 kiosks to support our ongoing launch in Australia this year. Australia continues to emerge as a global hotspot for Bitcoin adoption, currently ranking third worldwide in total Bitcoin ATMs. While it's still early, we are encouraged by the retail partnerships and expansion opportunities we have identified so far. Beyond Australia, we are actively evaluating entry into at least 2 additional countries in 2025. Next is scaling our domestic footprint. We continue to deploy kiosks from the large inventory we secured last year. Once fully deployed, these units could bring our total active fleet to approximately 10,000 kiosks. This will enhance our reach and support further efficiencies across the business. Given the strength of our business and our improving balance sheet, strategic M&A is also an opportunity to scale both domestically and internationally. In fact, in the second quarter, we acquired the assets of Pelicoin, a crypto ATM operator faced in New Orleans. Pelicoin's locations give us a stronger presence in the Gulf South, and we can immediately acquire scale and experience to operate their machines more efficiently. This acquisition is part of our broader effort to consolidate a fragmented market and extend our leadership in cash-to-crypto access. Turning to corporate and financial governance. We've made several key enhancements. We appointed Philip Brown as our new Chief Compliance Officer to strengthen our regulatory capabilities and oversight. We are actively engaged with regulators, including FinCEN and various state agencies to help shape a responsible future for the industry. Our strong compliance infrastructure, including rigorous KYC and AML protocols, continues to serve as a competitive advantage. We also simplified our corporate structure by eliminating the UP-C corporate structure, which has simplified our cap table and reduced our effective cash tax rate by roughly 12%. Additionally, we continue to strategically add Bitcoin to our treasury, reinforcing our commitment to long-term value creation. With nearly $60 million in combined cash and digital assets and to strengthen the balance sheet, we are well positioned for future growth and operational excellence. With that, I will now turn it over to our CFO, David Gray, who will walk through our financial results in more detail. David?
David M. Gray: Thanks, Brandon, and good morning, everyone. I'm pleased to share the financial highlights of our second quarter. Revenue was $172.1 million, up 6% from the second quarter of 2024 and up 5% sequentially. This growth was driven primarily by increased kiosk deployment and higher median transaction size, reflecting strong consumer demand as well as the results of our kiosk redeployment efforts. Gross profit in the second quarter of 2025 increased 32% to $30.9 million compared to $23.4 million in the second quarter of 2024. Gross margin in the second quarter increased 360 basis points to 17.9% compared to 14.3% in the second quarter of last year. This margin increase was largely driven by revenue outperformance and pricing optimization. Total operating expenses declined 9% to $17.0 million compared to $18.8 million in last year's second quarter. The improvement was attributable to lower depreciation, insurance and share-based compensation expenses as we continue to optimize our cost structure as a steady-state public company. Specifically, we had saved multiple million dollars on an annual basis by reducing costs related to our third-party legal costs, audit services and insurance. GAAP net income for the second quarter of 2025 increased 183% to $12.3 million compared to $4.4 million for the second quarter of 2024. GAAP net income attributable to common shareholders increased to $6.1 million or $0.16 per share compared to a net loss of $2.6 million or negative $0.13 per share in last year's second quarter. The increase was due to higher revenue and income from operations in 2025 as well as a $2.3 million mark-to-market gain on the company's BTC investment holdings. Adjusted EBITDA, a non-GAAP measure, increased 46% to $18.5 million in the second quarter of 2025 compared to $12.7 million in the second quarter of last year. This increase was primarily due to revenue outperformance and margin expansion. Now turning to our balance sheet and cash flow. Cash, cash equivalents in crypto currencies as of June 30, 2025, increased to $59.6 million compared to $31.0 million at the end of 2024. The company used $0.6 million in the second quarter of 2025 to acquire 6 more Bitcoin, bringing the total held for investment to 100.35 BTC. We generated $26.4 million of cash from operating activities in the first half of 2025, more than doubling the $11.5 million generated in the first half of 2024. Please note, during the quarter, $8.9 million was paid in connection with the elimination of our UP-C structure transaction. This was offset by $12 million in equity proceeds via our ATM offering. We view the ATM as an opportunistic and efficient way of raising capital to fuel our capital allocation strategy, which could include strategic M&A or accelerated debt pay down. Debt, which includes the term loan, finance leases and profit share arrangements were $69.7 million at quarter end compared to $60.9 million at the end of 2024. Of the total debt balance, $25 million is our term loan on which we made a voluntary accelerated principal payment of $5 million during the quarter, and we are evaluating paying down additional principal by year-end, depending on M&A opportunities. The paydown of the term loan balance was more than offset by the expansion of our profit share franchise arrangements in the quarter. These agreements entail an upfront lump sum payment to the company by our partners in exchange for a portion of future profits generated from a specified group of kiosks for a specified period of time. Because we continue to operate and typically retain title on the machines, we must account for these arrangements as debt under U.S. GAAP. We currently do not anticipate further expansion of the profit share program going forward. Now turning to our outlook. We anticipate Q3 revenues to grow in high single digits on a percentage basis compared to Q3 of 2024, and adjusted EBITDA growth of 20% to 30% versus the prior year quarter. We remain committed to additional operational enhancements to drive profitable growth going forward, including improving vendor pricing, lowering professional service costs and optimizing customer markups. We are focused on optimizing the business for profitability and positive cash flow ahead. With that, we are now happy to take your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Mike Grondahl with Northland Capital Markets.
Michael John Grondahl: Could you talk a little bit about revenue per ATM trends? Anything on the cohorts from earlier years? And then how many kiosks remain in inventory?
Christopher Scott Buchanan: Mike, this is Scott. Revenue per ATM, it's -- as we've talked about in the past, right, it's a tough one to nail down exactly because there's so many new kiosks and with the rest of the fleet aging. But generally, if we look at the mature kiosks, we did see improvement in those kiosks this quarter, and that's a large part of what drove the growth with the new kiosks expected to continue to ramp up. And what was the second part of your question again?
Michael John Grondahl: Is there anything on a cohort basis you can share with us? You have that slide in the deck, but it's really as of '24. Anything in the first half of '25 you've seen on cohorts? And then how many kiosks are still in inventory?
Christopher Scott Buchanan: Yes. We haven't done a first half cohort analysis, but we can definitely do that and talk about it going forward for you. The number in inventory still, David, I don't know if you have that from the queue. That's better than I have on the top of my head, but there you go 1,700.
David M. Gray: Yes, 1,700.
Michael John Grondahl: And then maybe 2 more. Do you have -- you were 8,900 at the end of June. Do you have a rough goal for the end of the year for year- end 2026? And then kind of your gross profit outlook?
Christopher Scott Buchanan: So we don't have a goal as far as the number of kiosks because there's so many factors around how many we'll remove versus how many new ones we're going to install. But we don't anticipate buying additional kiosks in 2025. So the max we could deploy would be a good portion of that number David said we have in inventory. As far as gross profit outlook, I think we'll probably be able to hold this level for a while. I don't see it growing materially on a percentage basis, especially as we head into the back half of the year when, as we've said historically, Q2 is the best quarter revenue- wise. So the margin on a percentage basis will probably hold steady or decline slightly going into the end of the year. And then we should see a pick up again going into '26, just like we have historically on an annual seasonality basis.
Operator: Your next question comes from the line of Mike Colonnese with H.C. Wainwright.
Michael Anthony Colonnese: First one for me, if you could talk through some of the assumptions underpinning your revenue and adjusted EBITDA outlook for the year. It looks like you expect top line growth to accelerate in 3Q versus 2Q. So I was wondering if you could just unpack that a bit.
Christopher Scott Buchanan: Yes. It's -- so top line growth has been pretty strong, and it's driven largely by the number of kiosks we have in operation and the maturity of the existing kiosks ramping up in performance. As far as projections for that, I think David talked about that towards the end of his script where we're expecting high single digits growth of top line revenue. And again, that will be driven by just same-store sales improving as kiosks mature and us continuing to work down that kiosk inventory and adding more kiosks into the operation of the fleet. And on the EBITDA side, the growth will largely be driven by that top line as well. We think our cost structure at the SG&A level has come down a lot as we've shown over the past year, 1.5 years. And we think these levels can be sustained and potentially even lowered further. And so that will drive the more rapid EBITDA growth relative to the revenue growth as we continue to optimize the cost structure.
Michael Anthony Colonnese: Got it. So it sounds like a combination of kiosks being deployed from inventory along with the maturation of existing kiosks is driving that acceleration. And as a follow-up. Brendan, I know you mentioned the international expansion being a continued focus for you guys, and you're talking to potentially 2 new countries being added at some point this year. I guess what needs to happen before you have the conviction, confidence or the ability to move forward with expanding into those 2 additional countries?
Brandon Mintz: Mike, on that, part of it is the Bitcoin adoption, the number of Bitcoin ATMs already there today. We're factoring in what's the TAM of some countries we're looking at. But also we have to look at the regulatory environment. And if there's a country that requires a license, then we have to go through the process to be able to secure a license or partner with somebody or acquire another operator in that country to be able to enter another international market. But there's not a lot of machines in countries besides the U.S., Canada and Australia. And it's difficult to tell for sure what is going to work, but we have the team in place to be able to try out a couple of options that we feel conviction in.
Operator: Your next question comes from the line of Pat McCann with NOBLE Capital Markets.
Patrick Joseph McCann: Congrats on the quarter. I also wanted to touch on the international expansion. First, could you just clarify, did you say it was 500 kiosks deployed in Australia? And then secondly, with regard to Australia, I was curious what your plans might be to maybe continue to add kiosks there? And how you view -- how you balance the prospect of additional expansion there versus the other new international markets, considering the size of Australia as being, I think population-wise, larger than the state of New York, as I think you guys have talked about before. What's -- what are the factors at play when you decide what is the best use of kiosk deployments in terms of just expanding in that market versus starting up in a new international market?
Brandon Mintz: Pat, good question. On Australia, we've deployed over 200 machines so far installed in locations. We have about 330, 340 total in the country. So we're still focused on signing up some of the last locations to deploy the remaining machines and then there'll be a few weeks lag time after we sign them up to get them all installed. But it's still really early. As you know, these machines ramp up in performance over time, and we're entering into a market where people are not familiar with our brands, which I think will make the ramp-up time for machines to be fully matured a little bit longer just because we don't have that brand awareness there and we're a newer entrant in the market, whereas other operators have been there a couple of years. But we're definitely excited about the progress. We see the machines are ramping up month-over-month in volume consistently. In terms of adding additional machines there, it's too early right now. It's going to be at least several months before we can evaluate where the machines will be close to landing in terms of mature kiosks. So we wouldn't want to send more kiosk to Australia at this time. We want to definitely reserve some for those 2 other additional markets we're talking about and see which is the most exciting market to expand more rapidly in. So I think for now, you can expect the Australia kiosk count to stay the same, but the revenue should grow every quarter for a while until the machines get a little bit more ramped up.
Patrick Joseph McCann: And then my other question is, I just want to, I guess, revisit California and just make sure I'm understanding the situation there correctly. I mean, are there -- what level of kiosks do you still potentially have left in California at this point? And then did -- has there been any traction whatsoever regarding a new bill there to kind of alleviate some of the issues there with other players not abiding by the current laws?
Brandon Mintz: On California, I believe we have less than 200 kiosks still. So just a small portion of what we originally had. Now the reason why we still have kiosks is because we're either making some money or potentially still hoping that there is change in legislation there. We still were actively engaged in efforts to change the legislation that passed in 2023 this year. Unfortunately, we were not able to achieve any changes in that legislation, but there's a significant reduction in machine count from other operators in the state. So it's possible that the existing fleet we have there, although there's limits and a cap on what we can charge in terms of our spread in the state, it's possible that we keep this 100 to 200 machine fleet in California because maybe margins improve a little bit and top line improves as other operators leave the state.
Operator: Your next question comes from the line of Mike Grondahl with Northland Capital Markets.
Michael John Grondahl: Just a couple of follow-ups. The relocations you did in 2Q '25, would you say those were consistent with prior quarters, elevated, lower than prior quarters?
Christopher Scott Buchanan: Yes. Sorry, Mike. I was -- go ahead, David (sic) [ Brandon ].
Brandon Mintz: Scott, I was going to say, I don't have the numbers in front of me. So I know it's somewhat similar. But Scott, if you have any more specifics?
Christopher Scott Buchanan: No, it's pretty similar. We haven't really seen a change in the rate of what we're doing, removals and relocations. We think it will slow down probably going into the fall. It's probably going to be slightly slower in terms of the number of relocations we're doing, but it's generally been pretty steady the past couple of quarters.
Michael John Grondahl: Got it. And have you disclosed that number for 2Q? The number of relocations you did.
Christopher Scott Buchanan: I don't believe we have. Yes.
David M. Gray: No, we haven't.
Michael John Grondahl: Okay. And then, David, I think you said there's $25 million of term loan left. You paid off -- that was after paying off $5 million during the quarter. Can you repeat what you said about year-end? Did you say you're going to consider paying that off on year-end? Or was it another $5 million? I didn't quite catch it.
David M. Gray: No. We didn't say a specific number. We said we're going to evaluate making additional accelerated payments before year-end, depending on the M&A environment and opportunities in that respect.
Michael John Grondahl: Got it. Got it. And then the roughly $9 million payment on the UP-C Structure, is that done? Is there any more that's owed there?
David M. Gray: That's done.
Operator: [Operator Instructions] The next question comes from the line of Hal Goetsch with B. Riley Securities.
Harold Lee Goetsch: Could you guys go over again some of the reasons for really the seasonality between Q2 and Q3? It seems like a pretty big step down in average revenue per kiosk taken as a whole. That's the first question. And then the number of kiosks that have been less than 1 year have been in the 3,300 to 3,800 range for the last, yes, 2 to 3 quarters. So the 3,300 this quarter, I think it was 3,200 last quarter, 3,800 in Q4. What do you anticipate that will be just on the demographic of machines let's say by Q4? Just kind of how you think about that, maybe you kind of have a feel for that.
Brandon Mintz: Hal, it's Brandon. On the step down in revenue from Q2 to Q3, we typically see this. What I can say about that is not factual. It's just what we've seen over many years now is our seasonality seems to have some correlation with tax return season. So typically, late Q1, things start ramping up quite a bit and they trail off typically around end of Q2. So what we're seeing is very regular compared to previous years. Now in terms of the machine count that's less than 1 year old. So you have 2 things feeding into that number. You have relocations and you have net new kiosks that we've deployed. So we've grown the number of kiosks in our fleet quite a bit over the past year. So the number of kiosks that are less than 1 year old, it's hard for that number to decline as we're continuing to grow new kiosks organically. So if, for example, we stopped deploying any new kiosks and we were just focused on relocations. I would expect for that kiosk within 1 year old number to decline. But that's not the case since we still have 1,700 roughly kiosks and inventory, as David mentioned. I don't believe that we're going to see a whole lot of decline in the number of kiosks less than 1 year old in the next quarter, at least.
Harold Lee Goetsch: Yes. Okay. And if I could ask one follow-up. I don't know if this is something you can discuss or comment on. But like we've seen a tremendous amount of market capitalization created through any company developing a stablecoin strategy. And when I look at your offering of cash into Bitcoin, it'd be terrific if there was an off-ramp from the app to, say, a stablecoin that I could use maybe a virtual card to spend the money. I think I brought this up before. But I wanted to get your thoughts if your thinking on that has evolved. I think an on-ramp and an off ramp back to fiat would increase the velocity of usage of current users. I think I'd probably use it more myself. So on that note, could you comment on if there's any thinking on developing other use cases and functionality of your mobile wallet and Bitcoin -- cash to Bitcoin strategy.
Brandon Mintz: Great question. On that, yes. We're always doing R&D to evaluate what additional products to add either to the machine or to our wallet or even evaluating potential opportunities outside of exactly what we do today and this whole cash to Bitcoin environment. In terms of an off-ramp, you mentioned it would be great if someone could have a virtual card and hold stablecoins or maybe even USD on to spend. That's existed for probably around 8 years now. And we believe a portion of our users are definitely using those products from other companies because you can just link your Bitcoin in your wallet to your card and you can spend it. Typically, if it's a Visa card anywhere where Visa is accepted, if it's a Mastercard anywhere where Mastercard is accepted. That's not something that we're focused on providing right now in terms of the card. We just don't believe there's enough profit to be made. And we think our customer base is very well served already with the options out there today for an off-ramp product like that. However, we're always evaluating more nonphysical off-ramp options. But in terms of priority, we're always focused on where there is going to be the most profit and we don't believe focusing on building an off-ramp will be the most profitable project that we can work on at this time.
Operator: And it seems that we have no further questions. That concludes the Q&A session. I would now like to turn the call back over to Brandon Mintz for closing remarks.
Brandon Mintz: Thanks, everyone. I think we delivered a great quarter once again, and we're excited to speak to all of you next time.
Operator: Thank you for joining us today for Bitcoin Depot's conference call. You may now disconnect your lines.